Operator: Welcome to Victoria Gold Corp., Third Quarter 2020 Operating and Financial Results and Updates. Today's conference is being recorded. At this time I'd like to turn the conference over to John McConnell, Director and CEO. Please go ahead, sir.
John McConnell: Good morning, afternoon, or evening everyone. Again my name is John McConnell, President and CEO of Victoria Gold. I'm joined today with our senior management team, Marty Rendell, CFO; Mark Ayranto, COO; Dave Rouleau, VP and General Manager, and Paul Gray, VP of Technical Services. To start I'd just like to summarize the Q3 results, and then we'll open it up for questions. So from an operational highlights, we achieved commercial production July 1, 2020. During the first quarter of commercial production, we mined 2.1 million tonnes of ore and stacked 1.9 million tonnes at an average grade of 0.85 grams per tonne. Gold production during the quarter was 35,312 ounces. Gold sold during the quarter was 32,029 ounces, at a realized price of $1886 per ounce. Cash costs were $804 per ounce. And all-in sustaining costs were $1315 per ounce. Now in the press release, we talked about some operational challenges and improvements we've made during the quarter. Not all have been completed. But we have made a number of changes that include the feeders, the tertiary crushers. It's been an improved design to reduce maintenance and increase productivity. We've had much higher wear in the plant than anticipated. This has required that we change liners. And we're in the process of that. Not all of the changes have been made, but we've identified where changes need to be made. And we expect that work to continue through to the end of the year. Control systems, there's been a number of process logistic upgrades which will reduce [usage] [ph] shutdowns, the dust control system in the crushing plant, we've improved that and that has dramatically improved the safety and productivity. We've also had a number of issues with the grasshopper conveyors on the Leach pad. One is the wear. We've had to redesign a number of the grasshoppers to reduce the wear. Again, this is a liner issue, but also that a number of grasshoppers were undersized in terms of horsepower. That's been generally rectified. New motors are arriving on site now. And the work will be complete by the end of the year. And last but not least, just want to make a comment on COVID. It has certainly impacted our operation. Well we have been able to work with government and various regulators to maintain operations. It no doubt has had an impact on both productivity of our workers and increasing the costs. And then finally, I’ll just summarize, we have restated our guidance. Originally, our gold production was anticipated to be 85,000 to a 100,000 ounces this half. We've reduced that to 72,000 to 77,000 ounces. And corresponding to that our all-in sustaining costs have gone from $950 to $1,100. We’ve increased that range from $1,175 to $1,275 per ounce. And now I'll turn it over to questions. Operator.
Operator: [Operator Instructions] And our first question comes from Andrew Mikitchook with BMO Capital Markets.
Andrew Mikitchook: Hi, John. Thanks for taking questions on the call and make yourself available. Can you just kind of give us a sense of what you think that the stacking could be in Q4 compared to Q3, like, with some of these changes still underway, should we expect an increase in stacking in the quarter and quarter-on-quarter? Or is it kind of more of a flat situation till this is all wrapped up? And you have room next year to come up to design stacking rates?
John McConnell: Yes, I mean, the fourth quarter is still challenging. It's difficult to make these repairs while you're trying to operate. We're doing the best we can. And I think from the guidance we've provided, you can see, the fourth quarter is again challenging. But we are getting all the repairs done now and we anticipate the first quarter of 2021 will be shut down because of weather. Again we have always planned that we won't stack during the coldest months of the year. But that sets us up really well for the balance of 2021.
Andrew Mikitchook: Okay, and can you take us through any more commentary on grade reconciliation or essentially heat bleach kinetics, I think essentially that they were both were just about one sentence in the press release, saying that it is in line with expectations. Do you have any further commentary or qualification to that?
John McConnell: Yes, I think what I'll do is there's two questions there. And they’re certainly questions any investors should ask a new mining operation? How is the grade reconciling and two, how is recovery reconciling? And for the first one on grade, I'll ask Paul Gray our VP of technical services to address the question.
PaulGray: Thanks, John. Thanks, Andrew. Yes, good question, of course. The Eagle ore body is performing very well, as far as grade reconciliation goes is a well behaved ore body. We've had very good reconciliation between our black hole model and our reserve model in specific, particularly within the area that we define as the mineralized shell that was within the feasibility study. It's a well-behaved ore body, as I said before, I think that needs to be underscored. The one thing I will mention is outside of that restricted mineralized shell we defined everything as waste. We are running into some what we are calling bonus material bonus ore outside of there. So we're seeing an increase in tonnage and grade related to that. But in general, when we're in ore body, and we're building down into it with each sense, getting closer to the heart of the deposit, its performing very well. So we've got no surprises and we're well within expectations.
John McConnell: Okay, thanks Paul. And for the second question there in terms of leach kinetics and where we are with recovery, I'll ask Mark Ayranto, our Chief Operating Officer to address that.
Mark Ayranto: Hi, Andrew, and thanks for the question. On the kinetics, the short answer is metallurgy and metallurgical responses as it relates to recovery is tracking very well to what we have expected and how we've guided. So when we have the kinetic curves, that allows us to determine when and how much gold we get out of the rock. And when we update our model for the exact tonnage that we get on the pad, the rock type, the crush size, and keep our kinetic curves, we are tracking incredibly well to our predicted model. So, right now, it's looking really good, the permeability is looking really good. We anticipate that to continue. We certainly continue some ongoing met testing to help optimize ultimate crush size and permeability and primary leach rates, et cetera. But no red flags there and we're incredibly happy with what we have guided from a recovery standpoint, and things are looking pretty good.
John McConnell: Good. Thanks, Mark. Does that answer your question, Andrew?
Andrew Mikitchook: That does, John. Thank you. Thanks, Paul, I'll step back to let other questions. I'll put myself back in the queue.
John McConnell: Great, thank you.
Operator: Thank you. Our next question comes from Goldfinger [ph] with CEO.CA.
Unidentified Analyst: Hey, John, when did you start to become aware of this abrasiveness sort of problem, that you guys have had? And in terms of the longer term costs of this mine, are we still looking at [several thousand dollars] [ph]? Could you give us any guidance farther out in terms of the cost and how this affects the operation longer term?
John McConnell: Yeah, thanks for the question, Robert. We still guide to the technical report that we put out in December of last year. We think that the costs and damages and production that are identified there are still very much valid. So I'd refer you to that document. I would say the abrasiveness issue we saw early on. And one of the challenges was everything wears out at about the same time. So, we needed to get maintenance on to a new schedule, and some cases we had to change things up earlier than we wanted to, but you have to get everything balanced, I mean it just takes some time to do it.
Unidentified Analyst: Okay. Thank you.
Operator: Our next question comes from Justin Stevens with PI Financial.
Justin Stevens: Hi guys. A bunch of stuff I was going to hit on those have been answered. But just a couple left for me. Any major capital items that you guys are expecting sort of from now to the middle of next year?
John McConnell: Thanks for the question, Justin. It's -- I can't really guide to that right now. Except to say, again, refer to the technical report to December of last year. We're on track with the sustaining capital that was identified in that report.
Justin Stevens: All right. Sounds good.
John McConnell: Nothing unusual.
Justin Stevens: Yes. That's what I was wondering. And on your strip ratio. I mean, I know, if you guys are planning to stop stacking, obviously, during the coldest months and come to the pad. Obviously, mining will continue. Is there going to be sort of a focus on moving I guess, waste or marginal material during the winter months, like there was last year to obviously [indiscernible] if you're not going to be crushing it to the pad anyways, might as well as just sort of limit your hauls at the plant again for the coming winter here?
John McConnell: Yeah, although we won't be stacking we will continue to mine and primary crush and stockpile that material. So, we'll get ahead on the ore and get that stockpiled. But we always like to take advantage of an opportunity to mine higher amounts of waste so that we benefit in the future. There is an additional cost of that. So you have to balance it.
Justin Stevens: Yeah, exactly. And obviously, if I'm going to be assured that a defective strip would kick up as a result when you in those periods. That make sense. And then just in terms of the debottlenecking and the sort of the [indiscernible] improvements, how much of there was costs roughly you should have seen the Q3 versus probably into Q4? Is about half-half or leading towards Q4.
John McConnell: Yeah, it’s really half-half.
Justin Stevens: Okay. Yeah. And then just the sort of the capital stripping plan, sort of remain about the same shift through into next year? Or is there any lumpiness there, I guess you guys discussed with potential instead of Q1 to be a bit heavier.
John McConnell: No. We're operating to the plan that was laid out in the technical report.
Justin Stevens: Okay. Perfect. I think that's it for me. Thanks a lot, guys.
John McConnell: Thanks, Justin.
Operator: And we'll go to Andrew Mikitchook with BMO Capital Markets.
Andrew Mikitchook: Hi. Just a quick follow up on that sustaining capital, which we opened at about $20 million in the quarter. that all else being equal that that would be a sustainable amount going forward. Right?
John McConnell: Well, I think we broke it down. Maybe I'll ask Marty to remind us how that breaks down. So Marty Rendall, our CFO?
Marty Rendall: Thanks, John. And hey, Andrew. The sustaining capital right now is a little bit interesting, because what we've been doing in Q3, and will continue to do in Q4 is our waste stripping above our strip ratio, which like mine is about 1.0. Anything above that 1 strip ratio we're capitalizing, and that's a little different than we anticipated previously, but we've worked with our auditors on this capitalized stripping, accounting treatment. And so we've had a lot of that weight movement that we've capitalized in Q3, with about $6 million of that Q3 sustaining capital was moving waste. And in the technical report, that was considered an expense rather than capital. So it's a movement from line items from expense to a capital line item, that doesn't affect cash flow. And it doesn't affect the bottom line, all-in sustaining costs. But it does make our sustaining capital look higher and our mining expenses look a little lower when we move more waste than ore during the quarter. And that is expected to continue in Q4.
Andrew Mikitchook: Thanks, Marty. John, if I could just follow up with one last question. And generally the crushers themselves, the three phases, the crushing -- are the crusher themselves operating as expected. We've talked about the wear plates and this and that, but the actual equipment how is that performing?
John McConnell: Yeah, our General VP and General Manager, Dave Rouleau, one of his favorite sayings is all the pots and pans are working fine. It's really some of the things in between that aren't working well. And so as laid out in the press release we've made a number of changes in design of shoots. We've have to replace liners, but the crushers are themselves are all working very well.
Andrew Mikitchook: Okay. Well, there's the end of the question. Thank you very much for your time everyone.
John McConnell: Thanks, Andrew.
Operator: [Operator Instructions] Our next question comes from D. Wilson, a private investor.
Unidentified Analyst: Thank you. John has mentioned restructuring the debt to achieve lower interest rates back in the summer. Can you just let us know how you're doing on that front? Thank you.
John McConnell: Yeah, good question. Yes, we are we did go out to a number of banks on refinancing the debt. And we're making good progress on that. And I can't provide a timeline right now, but I would say stay tuned. Certainly Marty and our consultants are working as fast as they can to get that done. And you'll see an announcement in the coming months.
Unidentified Analyst: Thank you.
Operator: At this time, there are no further questions.
John McConnell: All right. Well, thank you, operator and thank you everyone for joining in. And our next regular call will be after the fourth quarter results are released. Thank you.
Operator: Thank you. That does conclude today's conference. We do thank you for your participation. Have a wonderful day.